Operator: Ladies and gentlemen, thank you for standing by and welcome to Ceragon Networks Fourth Quarter and Full Year 2025 Earnings Call. [Operator Instructions] I must advise you that this call is being recorded. I'd now like to hand over the call to our first speaker today, Rob Fink, Head of Investor Relations. Rob, please go ahead.
Rob Fink: Thank you, operator, and good morning, everyone. Hosting today's call is Doron Arazi, Ceragon's Chief Executive Officer; and Ronen Stein, Chief Financial Officer. Before we start, please note that today's discussion includes forward-looking statements within the meaning of the Securities Act of 1933 as amended Securities Exchange Act of 1934 as amended and the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements include, among other things, projected financial performance, future initiatives, business outlook, development efforts, anticipated results, time lines and other matters. Forward-looking statements are based on current expectations and assumptions and involve risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties include, among other things, global and regional economic admissions, conditions in Israel and the region, fluctuations in exchange rate, customer concentration, ordering patterns, and supply chain challenges as further detailed in Ceragon's most recent annual report on Form 20-F and other documents filed with the Securities and Exchange Commission. Forward-looking statements are accurate only as of the date they are made, and Ceragon undertakes no obligation to update them. Ceragon's public filings are available on the Securities and Exchange Commission's website at sec.gov and on Ceragon's website at ceragon.com. Also, today's call will include certain non-GAAP measures. For reconciliation between GAAP and non-GAAP results, please see the table attached to the press release issued earlier today, which is posted in the Investor Relations section of Ceragon's website. With that, I will now  turn the call over to Doron. Doron, the call is yours.
Doron Arazi: Thank you, Rob. Good morning, everyone. As expected, the results we are reporting today align with the preliminary results we shared in January. Revenue in Q4 2025 was $82.3 million, consistent with the range we previously provided and non-GAAP EPS for Q4 was $0.02. For the full year, revenue was $338.7 million, and non-GAAP EPS was $0.09. We ended the year with $38.4 million in cash and equivalents and a net cash position of $19.4 million, up from a net cash position of $10.1 million at the end of 2024. Our balance sheet improvement reflects disciplined execution and stronger cash generation over the course of the year. Given that we provided a detailed update in January, today, I'll focus on confirming execution and discuss what we are seeing early in 2026. Our view on 2026 is unchanged from a month ago. Early activity in the year supports our confidence that we remain on track with the outlook we shared in January. Execution in North America continues to be solid, supported by CSP activity, and we see numerous emerging private network opportunities. In India, activity continues to track at the run rate we discussed with early bookings in the year, reinforcing our confidence in the base level of demand. We are not seeing anything today that changes our business view over the year or introduces new dynamics relative to what we previously discussed. In 2026, we plan to launch 4 new products with some expected to generate initial revenue this year. These launches are driven by clear recently observed demand in our addressable markets and aligned with tangible revenue opportunities. Our R&D and go-to-market investments remain focused on execution, differentiation and conversion. We continue to prioritize opportunities where we see clear potential customer demand and a path to revenue. Mobile World Congress in March is an important industry event for Ceragon and for the broader ecosystem. We will be showcasing several products we plan to introduce in 2026 and the level of inbound interest and meeting activity heading into the show has been strong. Historically, MWC has been a meaningful demand generation event for us, helping convert customer engagement into trials and over time, revenue. We expect it to be a constructive commercial catalyst again this year. Based on our current visibility, we are reiterating our full year 2026 revenue guidance of $355 million to $385 million. This guidance is based on us advancing our backlog in North America, assumes a baseline of $100 million in annualized revenue from India and additional demand from our 2 existing customers, potential timely RFP wins and reasonable recoveries in other regions. I would like to give one brief example of how execution is showing up in the private network space. We recently booked a multimillion dollar private network order in APAC with an electricity transmission utility following a competitive win announced last year. The award reflects our ability to deliver a full turnkey solution and provides both near-term revenue in 2026 and long-term expansion potential as additional sites are deployed. This represents how private network opportunities are moving from pipeline to backlog and into revenue. In summary, we are focused on execution, not reinvention. We delivered results in line with what we communicated in January. Our outlook for 2026 remains intact and early activity in the year supports our confidence in continued progress on revenue cadence, margins and cash generation. With that, I'll now turn the call over to our CFO, Ronen Stein, to review the financial results in greater detail.
Ronen Stein: Thank you, Doron, and good morning, everyone. Q4 2025 was another profitable quarter on a non-GAAP basis with positive free cash flow in excess of $7 million. To help you understand the results, I will be referring primarily to non-GAAP financials. For more information regarding our use of non-GAAP financial measures, including reconciliations of these measures, we refer investors to today's press release. Let me now review the fourth quarter results. Revenues for the fourth quarter were $82.3 million, down 23% from $106.9 million in Q4 2024. Our strongest regions in terms of revenue for the quarter were North America and India at $32.3 million and $24.7 million, respectively. We had 2 customers in the fourth quarter that contributed more than 10% of our revenues. Gross profit for the fourth quarter on a non-GAAP basis was $28.2 million, a decrease of 23.2% compared to $36.7 million in Q4 2024. Our non-GAAP gross margin was 34.3%, the same as the non-GAAP gross margin of 34.3% in Q4 2024. Turning to operating expenses. As a reminder, the 2025 operating expenses include the impact of E2E, whereas last year's results do not. Research and development expenses for the fourth quarter on a non-GAAP basis were $7.7 million, down from $8.8 million in Q4 2024. As a percentage of revenue, our non-GAAP R&D expenses were 9.3% in the fourth quarter compared to 8.2% in the fourth quarter last year. Sales and marketing expenses for the fourth quarter on a non-GAAP basis were $11.4 million, up from $10.6 million in Q4 2024. As a percentage of revenue, sales and marketing expenses on a non-GAAP basis were 13.8% in the fourth quarter compared to 9.9% in the fourth quarter last year. General and administrative expenses for the fourth quarter on a non-GAAP basis were $5.8 million compared to $5.1 million in Q4 2024. As a percentage of revenues, non-GAAP G&A expenses were 7% in the fourth quarter compared to 4.8% in the fourth quarter last year. Operating income for the fourth quarter on a non-GAAP basis was $3.4 million compared to $12.2 million for Q4 2024. As a percentage of revenues, non-GAAP operating income was 4.2% in the fourth quarter compared to 11.4% in the fourth quarter last year. Financial and other expenses for the fourth quarter on a non-GAAP basis were $1.4 million as compared to $3.5 million in the fourth quarter last year. Our tax expenses for the fourth quarter on a non-GAAP basis were $0.6 million. Net income for the fourth quarter on a non-GAAP basis was $1.4 million or $0.02 per diluted share compared to $7.7 million or $0.09 per diluted share for Q4 2024. Turning to our full year results. Revenues were $338.7 million, a decline of 14.1% from $394.2 million in 2024. Gross profit for 2025 on a non-GAAP basis was $116.8 million, a decrease of 15.5% compared to $138.2 million in 2024. Our non-GAAP gross margin was 34.5% compared with gross margin of 35.1% in 2024. Operating income for 2025 on a non-GAAP basis was $18 million compared to $48.8 million in 2024. As a percentage of revenue, non-GAAP operating income was 5.3% in 2025 compared to 12.4% in 2024. Net income for 2025 on a non-GAAP basis was $8.2 million or $0.09 per diluted share compared to $36.4 million or $0.41 per diluted share in 2024. As for our balance sheet, our cash position at the end of 2025 was $38.4 million compared to $35.3 million at the end of 2024. Short-term loans at the end of 2025 were $19 million compared to $25.2 million at the end of 2024. Thus, at the end of 2025, we had a net positive cash position of $19.4 million as compared to a net cash position of $10.1 million at the end of 2024. We believe we have cash and facilities that are sufficient for operations and working capital needs. Our inventory at the end of 2025 was $61.6 million, up slightly from $59.7 million at the end of 2024. Our trade receivables at the end of 2025 were $99.7 million, down significantly from $149.6 million at the end of 2024. Our DSO now stands at 107 days. With respect to our cash flow, net cash flow generated by operations and investing activities was $7.3 million in Q4 2025 and $15.1 million in 2025, excluding the cost of acquisition of E2E. Turning to our 2026 guidance. As Doron reiterated, we expect 2026 revenue to be between $355 million and $385 million, consistent with the guided revenues range we shared in early January. We also see an improvement of approximately 1 percentage point in our non-GAAP gross margin at the midpoint of our provided revenue range, primarily driven by improved revenue mix between North America and India as well as additional cost reduction initiatives we are working on. This effort also includes a plan to overcome the recent spike in the price of memory components in the market. All in all, we expect our non-GAAP operating margin for 2026 to be between 6.5% to 7.5% at the midpoint of the revenue range. This margin outlook reflects the currency assumptions established in January, and we will closely monitor and evaluate currency fluctuations as the year progresses. That concludes my prepared remarks, and I'd like to now turn the call back over to Doron for any remaining comments. Doron?
Doron Arazi: Thanks, Ronen. In closing, we continue to see steady traction across our markets, reflected in customer engagement, awards and initial orders. Our priorities in 2026 are clear: execute on conversion, improve revenue cadence and continue strengthening profitability and cash generation. We are reiterating our 2026 revenue guidance, and we believe our balance sheet strength gives us the flexibility to invest behind highest ROI opportunities while remaining disciplined on capital allocation. With that, I now open the call for questions.
Operator: [Operator Instructions]. Our first question comes from Christian Schwab  from Craig-Hallum.
Christian Schwab: Great. I just have one question. Doron, what would be needed to hit the high end of your '26 guidance? Would that be stronger strength in North America, given that the backlog is materially greater than where we started last year? Would that be India coming in a little bit better? Or geographically, would it be a different area? Just looking for what you're thinking about the 1 or 2 things that we can monitor that might get us towards the high end of the guidance.
Doron Arazi: Thanks, Christian, for this question. Actually, I see various scenarios where we can reach the high end of the range. Obviously, it could be a combination of both. And -- but I can also see a situation where we get to the high end of the range by only having one of the regions being strong. I would say that in essence, we need North America and India to be relatively stronger. And obviously, with some recovery, we expect in other regions, we can get to this high end of the range. I don't think it's beyond reach.
Operator: Our next question is from Scott Searle from ROTH Capital.
Scott Searle: Maybe just quickly in terms of just some of the financial management, Ronen, could you talk about dollar to shekel issues and how you guys are handling that and what kind of challenges that poses? And then Doron, just in terms of the update, it's nice to see that nothing has changed and it sounds like it's on the margin getting a little bit better from the January update. But in terms of the first half outlook versus the second half, kind of how are you seeing the balance right now? And given some of the orders that have started to come in and where the backlog is, how are you feeling about traditional seasonality in the first quarter and the first half? And then I have a follow-up.
Ronen Stein: Scott, thank you for the question. I'll start with the issue of the foreign exchange. We are monitoring that, and we have a hedging policy. So we are hedged. The longer the period is we are less hedged at this point, but we continue to monitor that. I would say as a rule of thumb that on an annualized basis, any 1% change would take 0.1% on an annualized basis from our operating margin. But we continue to monitor that with a combination of hedging, and this is where we are. Hopefully, we do have enough time also for changes in the ForEx also to the other direction.
Doron Arazi: Scott, to your second question. Yes, we started the year with a relatively strong booking. But obviously, it's not something that usually impacts the same current quarter that dramatically. And we do believe that Q1 in terms of revenue will take into account the regular seasonality we've seen in Q1 and maybe some delays in orders that were supposed to come in Q4, but were only received in Q1. I think that -- I still believe that the second part of the year will be much stronger than the first part, but I'm very much encouraged by the business that has already come from India and supposedly also coming in the upcoming months or so. This increased our level of confidence in the -- at least in the low end of the range for India very much, which is very encouraging.
Scott Searle: Very helpful. And if I could, just a follow up. Private network win in Asia Pacific is interesting because I think most of the activity has been North American focused and European focused. I'm wondering if you could comment in terms of the level of activity that's going on in that region for private networks and kind of the magnitude of some of those opportunities? Are they bigger? Are they smaller? How quickly do they deploy just in terms of some of the characteristics around it? And then if I could just put on the back end of that, looking at point-to-multipoint solutions available in new frequencies, how is just the general tone there for Siklu and some of these other bands, be it India and/or North America?
Doron Arazi: Sure. So let's start by saying that in private network, we see multiple opportunities basically in all regions. Obviously, taking more of a staggered approach and making sure that we develop our business while still looking at the bottom line, we are putting more focus in certain regions as opposed to other regions. Particularly in APAC, there's many opportunities we see. We see opportunities in mining. Some of them were already won. We see opportunities in the energy business. And therefore, I'm quite encouraged by the number of opportunities we see in this region. By the way, it's not only that region. We also see very nice opportunities in Europe and so on and so forth. So all in all, this is not a North America strategy. This is a global strategy that we execute on. And I'm quite encouraged by the progress both in North America and in other regions. Referring to point-to-multipoint solution. So I would say that we see a few use cases that are creating demand for us, and I would even say that the demand is growing as the customers realize that this solution is probably the most cost-effective one. So the 60 gigahertz point-to-multipoint product that was bought as part of the Siklu acquisition, is primarily getting traction in what I would call security and safety use cases. And that is something that we see globally. The other use case that this particular product is kind of creating an increased level of interest is either small cell backhaul or fixed wireless access in certain areas where the distances are short, and it doesn't make sense economically to put anything but these boxes that are very small. And this is with regard to the 60 gigahertz. We also see an increased demand and interest in basically similar product in FR2. And obviously, we are in advanced discussion with different customers about this potential business. And accordingly, we are moving forward in terms of research and development of this product. I believe that once we feel comfortable that demand is large enough and there, we can basically come very fast in relative terms with such product in FR2.
Operator: Our next question is from Ryan Koontz from Needham.
Ryan Koontz: Maybe focusing on your North America larger opportunities here. Your major Tier 1 in North America. Can you maybe expand on what you see happening in that account for you in terms of budget and the competitive landscape and customers' willingness to spend? It seems like kind of around press reports that the customer has been in a relatively positive spending trajectory. Maybe you can expand on how you see your market opportunity there with your big U.S. Tier 1.
Doron Arazi: So Ryan, thank you for this question. Look, generally speaking, we see the customer continuing to invest in their network. And obviously, we are also attentive to the news and publications that this customer is giving us. We know from the past that this customer has some, so to speak, trends or tendency to make short-term decisions, whether for much higher volumes or much lower volume. So far, based on what we know today, we think that 2026 can be as good with this customer as 2025. One thing that is encouraging is that we basically see an opportunity that is materializing gradually for new use case with this customer, which is around network resiliency or fiber backup. And if we will see some slowdown in the traditional rollout, this could augment the volume of the business to be similar to the average we've seen in previous years.
Ryan Koontz: Helpful. And with regards to your second North American Tier 1, can you update us there on your progress and expectations for the year in terms of progressing with the trials, et cetera?
Doron Arazi: Look, we are moving forward. We are making progress. The level of engagement is very high. We are actually having weekly and biweekly follow-up discussion with the customer as they are looking into, so to speak, tuning the solution to be the best solution for their specific case. And in parallel, we are moving and discussing with the customer other opportunities. And generally speaking, I'm quite satisfied with the progress and with the level of intimacy we have created with this customer.
Ryan Koontz: That's great to hear. Maybe just one last one, if I could get in. With regards to supply chain and memory costs, it sounds like you have some hardware cost reductions kind of moving through the process. How are you thinking about availability of memory? Any risk there around supply chain for this year? And what are you doing to compensate for the skyrocketing costs?
Doron Arazi: So, so far, the issue of the memory is more of a price issue rather than a supply issue. And I hope that this remains the same. And we have a plan that is combined of building second and third source to our main vendor and some quick changes we can do in our products to basically accommodate for this situation while still having the performance of this product unhurt. And that's what we are doing. It will probably take us something like a quarter or so, but this is something that we are on top of and obviously watching closely the evolution and the development in the market.
Operator: Our next question is from Theodore O'Neill from Hills Research.
Theodore O'Neill: Doron, I was wondering if you could give us some color on how you're able to improve accounts receivable by 30% year-on-year?
Doron Arazi: Well, I will hand over this to Ronen because this is something that is on his shoulder and he was doing an amazing job. So Ronen, please go ahead.
Ronen Stein: So, Theodore, thank you for the question, and good morning. We have done a lot of work in -- with customers, mainly in India to improve and catch up on payments. As you know, India is sometimes a challenge. And it's a lot of focus, a lot of focus and follow-ups to ensure that we reduce it, whether with new projects and improving the DSO in new projects as well as older projects.
Theodore O'Neill: Okay. And a follow-up question here on the memory costs. Just what could the impact be financially? I mean, I can't believe it's a huge part of the build for your equipment. But just can you give us a sort of 30,000-foot view in terms of the dollar impact if -- say, if memory prices stay where they are relative to where they've been in the past?
Ronen Stein: I don't think it's material enough, and we don't want to disclose exactly because it discloses information that is competitive -- has competitive implications. It's not material enough. And with our plans to mitigate this challenge, I don't think it's something that we need to disclose exact numbers.
Operator: Okay. There are no further questions. Doron, I'd like to hand back to you for closing remarks.
Doron Arazi: So thank you, everyone, for joining this call. Those who are planning to be in MWC, please come and visit us in our booth, and I wish a good day to everyone. Thank you.